Operator: Good morning ladies and gentlemen. Welcome to the Six Flags' Q4 and Full Year 2020 Earnings Conference Call. My name is Kathryn and I will be your operator for today's call. During the presentation, all lines will be in a listen-only mode. After the speakers’ remarks, we will conduct a question-and-answer session.  Thank you.
Stephen Purtell: Good morning, and welcome to our fourth quarter and full year 2020 call. With me are Mike Spanos, President and CEO of Six Flags; and Sandeep Reddy, our Chief Financial Officer. We will begin the call with prepared comments and then open the call to your questions. Our comments will include forward-looking statements within the meaning of the Federal Securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those described in such statements, and the Company undertakes no obligation to update or revise these statements. In addition, on the call we will discuss non-GAAP financial measures. Investors can find both a detailed discussion of business risks and reconciliations of non-GAAP financial measures to GAAP financial measures in the Company's annual reports, quarterly reports and other forms filed or furnished with the SEC. At this time, I will turn the call over to Mike.
Michael Spanos: Good morning. Thank you for joining our call. This past year has been exceptionally challenging as the world contends with the pandemic that has upended all of our lives. We are grateful for the first responders who keep us safe and for those who provide the services we all count on every day. I am proud that Six Flags has been able to make a difference in the communities we serve by hosting vaccination sites and testing locations and by donating the food bags for those in need. I also want to thank our Six Flags team for rising to meet the challenges of the past year. They have continued to amaze me with their dedication, perseverance and resilience as we found innovative ways to safely entertain nearly 7 million guests as a preferred entertainment choice. We established the highest standards of cleanliness and safety protocol as validated by local health officials and our guest feedback. We strengthened our liquidity position, significantly reduced our operating and capital expenditures, and continued to innovate to safely and successfully reopen our parks. I've never been more proud of our company or more confident in our future. In the fourth quarter we continued to make significant progress on our transformation plan, which focuses on strengthening our core business. This plan is in full action and will fuel our new strategy to drive long term profitable growth. Our new strategy is evolutionary not revolutionary. We are going to do many of the same things we did in the past, we were going to do them better. Specifically we will modernize all aspects of the guest experience and we will operate more efficiently as an organization.
Sandeep Reddy: Thank you, Mike and good morning everyone. Results for the fourth quarter and full year are not comparable to prior year, because of temporary park closures, modified operations, and attendance limitations. Total attendance for the quarter was 2.2 million guests, 338,000 of which came from the four parks that offered modified holding the park lights without drives and our drive-through Safari in New Jersey. Revenue in the quarter was down $152 million or 58% to $109 million as a result of a 65% decline in attendance. Sponsorship international and accommodations revenue in the fourth quarter declined by $8 million due to the deferral of most sponsorship revenue and a suspension of the majority of our accommodations operations. Guest spending per capita in the quarter increased 17%, driven by a 16% increase in admissions spending per capita and a 19% increase in park spending per capita. The increase in admissions spending per capita was driven primarily by recurring monthly membership revenue from members who retained their memberships after their initial 12-month commitment period as well as an increase in the mix of single day guests. The increase in in-park spending per capita was primarily driven by higher mix of single day guests, who tend to spend more per visit. In addition, revenue from recurring monthly all season membership products, such as the all season dining pass contributed to the increase. Attendance from our Active Pass Base in the fourth quarter represented 55% of total attendance versus 71% for the fourth quarter of 2019, demonstrating our success in attracting visitation of single day guests. On the cost side, cash operating and SG&A expenses decreased by $30 million or 18% primarily due to the following. First, cost saving measures primarily related to reduced salaries and wages and lower Fright Fest and Holiday in the Park related costs, due to the restrictive operating environment and organization redesign completed in October.
Michael Spanos: Thank you, Sandeep. Our strategy is to drive profit from our core business because this will create sustainable value over time. We can grow our business from its core because we operate in a healthy industry that is benefiting from long term secular trends, as consumers increasingly choose to spend on experiences over objects, even within out of home entertainment. Regional theme parks are a compelling sector because they enjoy high recurring cash flow that has proven to be extremely resilient during downturns. These attributes have enabled our industry and our company to deliver strong revenue and earnings growth over time. However, over the past few years, we did not evolve at the same pace as our guests' expectations. As a result, we underperformed the industry for both a top line and bottom line perspective. To reinvigorate profitable growth, our team has reassessed every aspect of our business. We have developed an updated strategy to ensure that we constantly evolve, so we not only meet, but exceed our guests' expectations both now and for many years to come. So here it is. Our strategy is to create thrilling, memorable experiences at our regional parks, delivered by a diverse and empowered team through industry leading innovation and technology. Our vision is to be the preferred regional destination for entertainment and our mission is to create fun and thrilling memories for all. Our core values prioritize safety and the guests experience and drive accountability throughout the organization. Our values will result in a guest centric culture, a commitment to prioritize the guests at every decision point. Looking into the future, three key long term focus areas will drive our strategy. First, modernizing the guest experience through technology; second, continuously improving operational efficiency; and third, driving financial excellence. For each of these focus areas, we will measure our progress based on certain key performance indicators. For our first focus area, modernizing the guest experience through technology, our goal is to create a seamless and improved in-park experience with new applications of technology. First, we will provide opportunities for guests to tailor their in-park experience to each of their individual preferences. Second, we will decrease wait times wherever possible, especially for our roller coasters, where we are testing several virtual queuing and reservation systems. Third, we will facilitate our guests' ability and desire to share their experience on social media. Finally, we will improve food and beverage quality and the overall appearance of our parks. In everything we do, we will prioritize the guest experience. Here are a few highlights of our progress on this focus areas thus far. Website redesign, our new simplified website has made it easier than ever for guests to find information about our offerings, and to purchase tickets. This has led to higher sales conversion rates and higher per caps. Customer Relationship Management, we are in the midst of developing a new CRM platform that will allow us to understand and predict our guests' preferences from the moment they visit our website to the moment they leave the park. Based on this consumer data, we will begin tailoring our offerings to their preferences and customize our experiences so they get exactly what they want, when they want it. Contactless security, our guests no longer have to wait in long lines or have their bag searched to enter our parks. They now walk seamlessly through our contactless security systems, which scans them for anything unsafe, and also measures their temperature to ensure a safe environment. Cash card kiosks, all our domestic parks that opened for normal operations in the fourth quarter have offered any guests who only have cash the ability to obtain cash cards from kiosks throughout the parks in order to facilitate electronic transactions. This improves hygiene within our parks, while also speeding up transactions and eliminating cash handling costs. Mobile dining, our guests no longer have to wait in long lines to order food. Instead, they can choose to order on their smartphones and pick up their food when it is ready. Mobile dining has also led to higher average checks. For this first focus area, modernizing the guests experience through technology, the key performance indicators will be attendance and revenue. Moving on to our second focus area, continuously improving operational efficiency, we will deliver products and services in a more cost efficient manner, including effectively deploying park level labor, leveraging our scale to increase purchasing power and optimizing our ride portfolio. We are also focused on increased guest throughput on our rides as well as our food and beverage locations. As Sandeep mentioned, we have moved quickly to streamline organization and reduce other fixed costs and we expect to realize $30 million to $35 million of fixed cost savings in 2021. For the second focus area, continuously improving operational efficiency, the key performance indicator will be operating expense ratio, which is the ratio of our operating expenses relative to our revenue. We will begin to measure this ratio once we return to a more normal business environment. Finally, our third focus area is driving financial excellence. We expect our transformation initiatives to create a new adjusted EBITDA baseline of $530 million to $560 million once our plan is implemented, and we are operating in a more normal business environment. After we achieve this baseline, we believe our strategy will allow us to grow revenue at low to mid-single-digits in line with the overall out of home entertainment industry. Combined with our annual productivity initiatives, we will continue to invest back in our parks and improve margins to accelerate annual adjusted EBITDA growth to a range of mid-to-high single digits. In addition, we will be disciplined in the way we allocate capital to ensure we deliver sustainable earnings growth. We have developed the following capital allocation priorities to guide our path towards financial excellence. First, invest in our base business to facilitate profitable and sustainable growth. This includes investments in our park infrastructure, in technology for our parks, in its systems that help us oversee our park operations. This also includes investments in new rides and attractions, as well as other in-park offerings such as food and beverage. We expect to maintain our annual capital expenditures at 9% to 10% of revenue. Second, use free cash flow to pay down debt and return our net leverage ratio to between three and four times. Third, once we are within our targeted leverage range, consider strategic acquisition opportunities that further build our regional network of parks. Finally, if there are no acquisition opportunities that meet our strategic and financial return thresholds, we will return excess cash flow to shareholders via dividends or share repurchases. For this third focus area driving financial excellence, the key performance indicator will be adjusted EBITDA. We have a resilient team in a resilient business. Our team's focus for 2021 is to safely open all of our parks, and ensure that we successfully execute our transformation plan. I look forward to updating you on our continued progress in the months ahead. Katherine, at this point, could you please open the call for any questions?
Operator:  Your first question comes from the line of Steve Wieczynski with Stifel.
Steve Wieczynski: Hey, guys, good morning. So, Mike, I guess first of all, when you guys talk about becoming potentially cash flow positive over the last nine months, can you help us understand maybe, what is going into making that statement? I guess what I'm trying to get at here is, is that assuming kind of park operations are, everything is basically up and running and still running at some kind of capacity restraint or are there other things that are kind of embedded in there?
Michael Spanos: Steve, how are you doing? Good morning to you. And I'll take the first part of it and Sandeep can go from there. I think that the first thing is, we are seeing consistent and continued improving signs of pent up demand across all the geographies, and we're ready to operate all of our parks starting in the spring of 2021. As far as right now, which parks are open and not open that go into that. As we saw last week, we got the greenlight open up our Waterpark in Mexico wash the pack , February 27 and we got the greenlight in New York as well. We are still working collaboratively through California, Massachusetts, Illinois, Mexico and Montreal. But remember, it's a volatile environment as far as where we're at, and we continue to work with the cities and states. Sandeep has been clear in the past that the assumptions to get to cash flow neutral, assumes that we're roughly at about a 65 to 75 index to 2019 attendance levels and that's, the guardrail, but again, we'll continue to keep you posted. Sandeep, anything there I missed?
Sandeep Reddy: Yes, I think just to be clear on the assumptions, what we're saying is, once we get past Q1, for the remaining nine months, we're looking to be cash flow positive. It's to definitely an extent dependent on the park opening schedule. We're ready to open in spring 2021, it is more a question of getting authorization. And I think if you go back and look at our historical cash flows, the second quarter and the third quarter typically are significant cash generators and if you think back to what happened last year, especially the second quarter and third quarter, we didn't really have that much of attendance because of the closure for the most part in the second quarter and limited operations in the third quarter. So I think it is dependent for sure on the opening cadence, but I think we feel that we can get to positive cash flows, if it actually works to what we're expecting.
Steve Wieczynski: Okay, got you. Thanks, guys. And then second question, Mike and Sandeep, you guys saw a nice uptick in the fourth quarter in terms of the single day guests so to speak. And I'm just wondering, do you have any more data from, meaning from, where did those folks come from? And I guess what I'm trying to get at here is, are these folks that were potentially on a pass before and dropped off the pass or are these folks that essentially have never even really visited one of your parks before?
Sandeep Reddy: Yes, I think, on this one Steve, we're extremely pleased on the single day ticket strength that we have actually been seeing and it's actually not just the fourth quarter. If you go back to Jan, Feb of 2020, before the pandemic hit, we were already seen significant single day ticket improvement in terms of penetration and growth. We're up 38%, I think in the first couple of months of 2020. And I think historically, we've actually probably, in the last few years, lost a bit of traction on single day tickets and this has been an initiative that we actually look to embrace in the early part of 2020. And in fact, when we went in talked about the transformation plan back in October, we identified the pricing and promotion initiative as one of our key prongs. And this is a key component of it, because we're looking to drive a mix improvement in our portfolio, but it's an and, it is not an or. So these single day ticket guests are intended to be incremental to the Active Pass Base that we have. And I think we've been really pleased that they'll be getting traction on this, on the single day ticket side and what's really good is, we are actually pleased about our Active Pass Base, because we've been able to retain -- Q3 to Q4 was relatively flat and frankly, going back to Q2, Q2 was a little bit flat with Q3. So it's been pretty consistent over the six-month period in terms of the Active Pass Base in total. There has been a bit of a trade between members and season pass holders. But overall, we're very pleased about it. And in the prepared remarks I told you, because we extended the season pass holders from 2020 to the end of 2021 given the pandemic. If we look at it today, we're actually down less than double digits on the Active Pass Base. And these season pass holders and members that have been given extensions are going to come and visit our parks and they will definitely drive attendance. And in addition to that, incremental revenue on in-park spend, depending on the type of products available at park. So overall, we feel really good about the single day ticket attendance being incremental to the Active Pass Base and accretive to our overall attendance long term.
Steve Wieczynski: Okay, great. Thanks, guys. I appreciate it.
Operator: Your next question comes from the line of David Katz with Jefferies.
David Katz: Good morning, everyone and thanks for all of the detail. When we look forward to this notional or aspirational kind of normal year again that we all wish for, that you're basing the $530 million to $560 million EBITDA on, can you talk about the mix of membership/ pass members, coupled with kind of the spend per capita, and how you're assuming that mix evolves within that kind of $530 million to $560 million. Plus, because we can sort of think out loud both ways, where perhaps there's less growth in the pass base or membership base, and more of it coming from the spend per capita or we could probably argue it the other way too?
Michael Spanos: David, a great question. And I think if you think back to what I just talked about in the earlier answer on single day ticket, penetration in the Active Pass Base. Look, I mean, our per caps have been extremely strong, as we've gone through this past year and the fourth quarter in particular, and I think as you've been seeing a sequential acceleration in the per caps between Q3 and Q4, it was driven by a few things. One is, our members who were past the 12-month commitment period contributed definitely to the submissions per caps growing. In addition, the single day ticket holders contributed to the growth in per caps. The single day ticket holders actually spend more per visit in the parks when they come in, so all of that actually contributed to the per cap increase. However, we do have a good strong retention of the Actual Pass Base. And I think what we are looking for is the and not the or. So we want to basically layer these single day tickets on top of the Active Pass Base. And as we move into the normal operating seasons, we would like to actually rebuild the Active Pass Base as we go through the year to have a much more balanced approach between single day tickets and Active Pass Base. It is not treating off one for the other. It is just that I think we were further behind on single day tickets, and so the growth is actually a bit higher in the initial phases, but over time it should be very balanced. And so the revenue mix that should come from that should reflect that balance and the per caps will adjust accordingly.
David Katz: And if I can follow that up, right, what Mike laid out is sort of a flow through of 1 to 1.5 times growth on that mid-single-digit top line. How does the evolving mix sort of slide the outcome, right, the profit outcome within that? Presumably, the more single day visitors you have, the closer you get to the top end of that range? Is that a fair assumption?
Sandeep Reddy: Yes, I would say that, let me just step back a little bit David, and just say that, overall we've been talking about mid-to-high single digit improvements in the EBITDA growth. It is based on productivity improvements, which include elements of the cost structure that we've been investing in, as well as the revenue growth news. And so, what I would say is, the mix in fact, is part of our revenue growth plans and so it's embedded. But I wouldn't necessarily say that it's going to hurt us or help us one way or the other. The key is to maintain the balance at all times. And we will continuously re-evaluate if the balance is out of kilter and push one side or the other a little bit more. But the key over here is, we're looking to make sure that we deliver the option the guest looks for, because we can look at both our pricing and promotions approach and the transformation initiative to understand if they're more inclined to go for a single day ticket because of the cohort they belong to, like Mike described, and or if they want to basically trade up and buy a season pass or a membership and that balance is something we'll continuously reevaluate as part of the transformation we've invested in this revenue management team that is now in place. And you're seeing the results, you're actually seeing the results from Q4. There's more of it that should come as we continue driving this year.
David Katz: Perfect, thank you all.
Sandeep Reddy: Thank you.
Michael Spanos: Thanks, David.
Operator: Your next question comes from James Hardiman with Wedbush Securities.
James Hardiman: Hey, good morning guys. I really appreciate all the color, particularly with respect to the longer term outlook, the longer term plan obviously, we're in the midst of some pretty unprecedented disruption. But I wanted to continue down this path of what things look like sort of post pandemic, particularly on the capital priority side. As you sort of laid out your priorities, it seems like M&A is a higher priority than dividends and share repurchases. Maybe just help us think about why that's the case? Are you seeing, do you believe that there are better returns sort of in a post pandemic environment on M&A than dividends and share repos? And then, the previous management team obviously had a pretty well defined strategy for acquiring small parks, waterparks specifically, at the local level, do you see your M&A strategy as a continuation of that or something that's new and different some like?
Michael Spanos: Well, good morning, James. What I would start with is, our focus is on our core business and that's the focus. We want to absolutely leverage transformation to drive real operational effectiveness on our core business and I start there. Second on M&A as you know, it's always been our policy not to comment on that topic. But I want to go to your question as well is, we -- as we said in our prepared remarks, our first priority, consistent with transformation and focus on the core business and delivering sustainable value creation there is to invest in the base business to facilitate profitable sustainable growth out of rides, attractions, other in park areas, that is absolutely going to be the focus. Second, is to use that free cash flow to pay down the debt, get that net leverage ratio to between 3 and 4. And then we'll consider opportunities on the M&A front and any excess cash we will definitely return in terms of dividends and share repurchases. And we're always going to look at the return aspect, but that is the priority, but I think everybody should take away the focus is the base business here.
James Hardiman: I definitely get that. I guess, to the question of the previous waterpark acquisition strategy, is that sort of something we should think about as the previous management team and not continued under your leadership?
Michael Spanos: No, what I would say is, what we've been clear on this, I think with any M&A, it's always going to be about, is it strategically relevant? Does it deliver shareholder value? And do we think we have the capability and capacity to deal with it? And I think we're going to look at anything in that framework.
James Hardiman: Got it? And then my second question, I wanted to talk about wages, which are obviously an important topic, just given the momentum that a federal minimum wage seems to be gaining here. Who knows? Obviously, that wouldn't, presumably wouldn't happen over overnight if at all, but just curious where you stand in terms of sort of a weighted average basis in terms of your associates at your parks? And maybe as I think about this $530 million to $560 million baseline EBITDA number, sort of what's assumed in there? Is there potentially some downside if we do see a ramping up of the minimum wage? Thanks.
Michael Spanos: Sure. Yes, it's a really good question, James. Let me start with, this is clearly an area that we've been focused on and managing for quite some time. As you remember, in our earnings baseline as part of our 2020 earnings guidance prior to COVID, we already reflected minimum wage risk in seven states, which was about approximately $20 million, and so we know, and we knew that was an issue. We got ahead of it. So that's why our second strategic focus area is about continuously improving our operating efficiencies. It's a major part of the strategy. Now we also believe conversely, there's going to be potentially bigger labor pools out there as well, because there's a higher unemployment rate. But I think, last thing I would say on this is, that's the whole reason we engaged on park level labor as part of transformation. We knew we had to get ahead of this. So, we're going to continue to monitor it and stay close to the States. But we do think we got the right tools in place with transformation and we also think that our earnings baseline before the pandemic reflected that. Sandeep, anything I missed there?
Sandeep Reddy: Definitely not.
Michael Spanos: So we'll take the next question, who is next in the queue? And one question please, just because I know we got a number of other folks in the queue.
Sandeep Reddy: Sorry, Mike. I just accidentally went on mute. Just to answer the question that you asked specifically James and what's assumed in our EBITDA goal of $530 million to $560 million. We've assumed both the headwinds from minimum wage, and also the offset from productivity gains from the PL, from the park level labor model that Mike just talked about. So that is already assumed in our EBITDA growth.
James Hardiman: Got it, thanks, Mike. Thanks, Sandeep.
Sandeep Reddy: Thanks, James.
Operator: Our next question comes from the line of Tyler Batory with Janney.
Tyler Batory: Good morning. Thank you. I wanted to circle back on pent up demand, specifically this year. And in the prepared remarks you cited some guests survey data, but just interested if you can give us a better sense of what indicators you're looking at that's informing your opinions on pent up demand for the second half of this year, whether it's group bookings or the past sales, just trying to get a sense of what's most important there? And what those indicators are telling you about what demand might look like in the summer season?
Michael Spanos: Good morning, Tyler. Hope you're well. So I'll start with the broad umbrella of, I think it's fantastic. That is an industry and we are Six Flags and we entertain nearly 7 million guests. And I believe that our safety protocols and standards have created a significant trust lever with our guests, both in terms of recruiting guests as well as retaining and this gets to the single day ticket and the retention of the Active Pass Base. So I start there, because people feel confident in the safety umbrella we give them, and I think that is a big deal for the industry and it is a big deal for us in a positive way. Specifically to your question; first, we're seeing very consistent demand across all geographies, which I think number one is a really positive sign. Second, as Sandeep mentioned, we continue to see really good attendance trends from 35% in Q3 of 2019 to 51% in Q4, and similar levels year-to-date. That includes what has been two weekends of tough weather in Texas. We're also as part of that scene, guest satisfaction surveys now, equal or better in our open parks in 2019. We think that's a very good positive as guests are understanding the safety protocols. The other item obviously is the resilient Active Pass Base. We think that's a big positive that we're roughly flat, really from actually quarter two and we still have the opportunity with our Active Pass Base to revamp once we reopen up the parks. And then lastly, when we look at our surveys, and I mentioned this on the last call, we see the improvement, as we've been serving the guests, we're seeing 97% of those surveyed, want to visit in the COVID free environment, last call was approximately 93% and we're seeing 96% of guests are saying they want to visit immediately after taking a vaccine. And as part of that, we are seeing data that people want this close to home, fun, safe experience and we are seeing data that says people do have more vacation days, and they have saved up money, but they want to be able to enjoy it in a safe, fun, close to home experience. And then, we've also been watching the overseas parks as well and we've seen some good trends there. So we'll continue to monitor it. We'll stay close to our guests every week, but we're ready to go. We're ready to operate in 2021.
Tyler Batory: Okay, very good. I appreciate the color. I'll leave it there. Thank you.
Michael Spanos: Thank you.
Operator: Your next question comes from the line of Ian Zaffino with Oppenheimer.
Ian Zaffino: Hi guys. I just wanted to touch on that minimum wage question again. On the revenue side, maybe you can kind of give us an idea of what your demographics are as far as people who are showing up to the parks, there's a boost in minimum wage actually put more dollars into your visitors pockets or are you planning for just a higher demographic and any type of color you could give there will be great?
Sandeep Reddy: Ian, you are right, because it seems to the extent that there is minimum wage increases in certain of our demographics where we operate, that is got a halo effect on the revenue side as well. I think we've talked about this in the past too, but that is a factor. And I think as part of what plays into the assumptions that I talked about, on the $530 million to $560 million adjusted EBITDA goal that we've articulated previously and indeed today. So it's all in there in the assumptions. The headwinds on wage was definitely in there and it was in there back when we got it for 2020. And also, the assumptions of improving productivity are in there, because of Park level labor. And on the revenue side, the assumptions include the assumptions of benefits from a more disposable income available in those demographics too, so it's all in there and it's embedded in the EBITDA goal of $530 million to $560 million.
Michael Spanos: Yes, and Ian just quickly to add, I mean, we're roughly specific, we're roughly half teens and young adults and roughly half families and children and to Sandeep’s point, we think it absolutely helps in that regard, put more money in their pockets.
Ian Zaffino: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Eric Wold with B. Riley.
Eric Wold: Thank you. Good morning. You know, I know obviously, from everything you talked about today, you're focused on the core business, improving base and operations and getting those to ramp back up. Can you may be provide as to an update as to where you are with potentially restarting the China Park development? Have you been in discussion with any potential new partners there since that fell out, a year or so ago? And is there a timetable as to kind of when you would want to get that restarted or potentially it becomes maybe too late on that front?
Michael Spanos: Good morning, Eric. So we've been clear with this, and I've stated this in the past. We obviously from an international standpoint, we are focused on Korea and Saudi Arabia, and we are excited about the future there and we do not anticipate any revenue or operations from China in '21 or moving forward.
Eric Wold: Got it. Thank you.
Operator: Your next question comes from the line of Stephen Grambling with Goldman Sachs.
Stephen Grambling: Hey, good morning. Very quick follow up on the transformation plans. I think last quarter, you gave some big buckets on the fixed cost savings, just confirm the total amount of $40 million to $55 million hasn't changed, and what are the big buckets being achieved this year versus next?
Sandeep Reddy: So I think, we talked about the $30 million to $35 million of value being achieved in 2021, which was consistent with what we said last time in October. And I think for what we are expecting as a $40 million to $55 million is achieved in 2022. And I think that's the fixed costs independently of attendance. The total transformation value, as we said, was $80 million to $110 million, with the remaining part of the $40 million to $55 million coming from a combination of the revenue initiatives that we outlined, and the Park level labor initiatives that we talked about earlier, as well. So no change really in what we previously communicated. I think from a proof point standpoint, we're just a month into the year and as I mentioned, the prepared remarks that already realized over $2 million in the first month of the year. So we feel pretty well on track, to getting the fixed cost savings that we've actually outlined for the year. And it's really coming from a couple of major areas that we've outlined in the previous call, which was the old redesign, which we educated in Q4. And in addition to that, we also have the procurement effort on non-headcount, which is going to be an additional element that's going to drive it. So pretty confident of the $30 million to $35 million and we're going to continue to update you every quarter as we go along on progress that we're making.
Stephen Grambling: And so, just to be clear, it sounds like some of the park level labor expenses like the system to better forecast attendance and labor needs, maybe that will evolve and be what kind of builds on this into next year?
Sandeep Reddy: Yes, you're exactly right. So Park level labor is a variable component. So the $30 million to $35 million is fixed costs independent of attendance, right? So the Park level labor will flex based on the attendance and also based on when we implement it. The revenue initiatives should also be happening, depending on where the attendance basically goes. So we're going to basically update you on the fixed case and the variable case as time goes along, so you know how much of transformation value has been realized.
Stephen Grambling: Understood, clear. Thank you.
Sandeep Reddy: Okay.
Operator: Your next question comes from the line of Paul Golding with Macquarie Capital.
Paul Golding: Yes, thanks so much. Mike, you mentioned earlier on the call that you're testing the virtual queuing and reservation system for some rides. I was wondering just what the outlook is on capacity this year, any limitations? And I guess as an indication of that, whether you're going to maintain the reservation system to get through the front gate? And then I have a quick follow-up.
Michael Spanos: Yes, good morning, Paul, how are you? First on your latter, we have the ability to continue the reservation system. And we have used it where we've needed to use it based on local state officials, as well as where we've been able to flow capacity. And we made decisions park-by-park based on the local guardrails. As far as capacity and total to your former question, first we're very confident we have ample capacity to meet pent up demand and satisfy our safety standards. Remember, the same thing I want to stress again is, we're outdoor, we're spread over dozens to hundreds of usable acres, which allows us to reach high levels versus our theoretical max capacity while still satisfying social distancing. And then the third, which you alluded to, when you look at our technology and safety protocols we put in place in 2020, it's really allowed us to even beyond the pandemic, control the flow capacity and safely increased throughputs. From the website to going through security, you're not even touched. And I think lastly just as a reminder, we only reach our max capacity on roughly a handful a day. So we average about 50% of theoretical mass capacity in a pretty typical year. So all that combined with we're excited about the progress of vaccines, we feel very good about our capacity to meet the pent up demand across all geographies. And, as I said, we're ready to operate.
Paul Golding: Thanks for that color. And then just a quick follow up on the earlier question around International, I know you were saying that you don't expect to see any more revenue EBITDA come from licensing in China, in parts of the world where maybe COVID wasn't as protracted, do you still see an opportunity for maybe any new deals where the appetite for mass gatherings may be higher than it is currently in the states?
Michael Spanos: It relative, immediate in terms of pent up demand or business opportunities, just so I'm clear on your question, Paul.
Paul Golding: Yes, just the business opportunities and we know that the China arrangement, that we shouldn't expect to see anything further come from that. So I guess the question is, maybe are there opportunities, are you still open to other opportunities since COVID was not as severe in some other parts of the world?
Michael Spanos: Yes, very clear. What I would reinforce again is, our focus is delivering profit from our core business. And again, transformation is all about driving operational effectiveness of that core business, and that's going to be our focus.
Paul Golding: Got it? Thanks so much, Mike. I appreciate it.
Michael Spanos: Yep, you bet.
Operator: Your next question comes from the line of Alex Maroccia with Berenberg.
Alex Maroccia: Hi good morning, guys. Thanks for taking my questions. Based on some of the technology in park improvements you outlined, it sounds like many of these could be related to the pandemic or at least accelerated by it. And here I'm talking about contactless security, mobile dining, and the cash kiosks, all due to their hygienic benefits. How will you be measuring the return on the investments, both financially and then in terms of customer satisfaction going forward?
Michael Spanos: Alex, I think it's a really good point. What -- I think first, the pandemic helped us accelerate what we needed to do to be a more guest centric culture. And as we looked at even the pre-pandemic, as I said on the last call, our guests love our parks, they love our roller coasters, they love our funnel cakes. They just want an easier experience. And part of that is just modernizing that guest experience through technology, which is one of our key strategic focus areas. So our measure of KPI  is going to absolutely be attendance and revenue. As we look at that, it should -- we should be seeing topline momentum as we modernize the guest experience through technology. And we will obviously continue to look at guest satisfaction surveys and other levels of guest feedback. So very consistent as I said. It'll be about attendance and revenue will be the key KPIs.
Alex Maroccia: All right, that's great. Thank you, Mike.
Michael Spanos: Thank you.
Operator: Your next question comes from the line of Mike Swartz with Truist Securities.
Michael Swartz: Hi good morning, guys. Just may be for Sandeep. I think you said that, in your prepared remarks that each park that was open in 2019 was also open in the fourth quarter of 2020. And I may have missed it, but did you give us the operating days in the fourth quarter versus of '20 verses '19?
Michael Spanos: Yes, I got it Sandeep. So we've been focused on obviously on open parks, and as you know, not all operating days are created equal. The way you want to think about it for the fourth quarter is, first for the days that the parks were open in 2020, comparable operations in 2019 represented approximately 70% of the 2019 total attendance. That was an increase from about 60% at the end of the third quarter, so we feel good about that. We think that's also another sign of good pent up demand. Remember in those numbers that includes Mexico. Mexico was open part of the quarter, but we ended up closing it early. And it also includes the fact we have four additional parks that offer drive-through or walk through holiday in the whites experiences and also the drive-through Safari that was open for a portion of the quarter. So I think we're also clear on -- in the table releases, but we had 18 parks, one waterpark and The Great Escape lodge were open during that quarter.
Michael Swartz: Okay, that's helpful and is there may be a way to think about that kind of comparable ops percentage for 21 and maybe how that flows throughout the year. I know first quarter will be constrained, but how does that look as we progress through the year?
Michael Spanos: It's a good point. I mean, we've been -- it's obviously as Sandeep said it's really a volatile environment. And we've been very focused on open parks and getting the parks reopened in terms of that focus, because we think that's where it is. So our focus is about getting all the parks open by the spring of 2021. And that would be the guidance I would give you, that is the true north for us is to continue to leverage our safety protocols, work collaboratively in those places, we don't have set dates and to get all the gates open to drive that up, positive performance balance of the year.
Michael Swartz: Okay, great. And maybe to just follow up, sorry go ahead, Sandeep.
Sandeep Reddy: Yes, and just to add on, I think, obviously, once we get opened, especially by spring 21, we should be going to normal operating schedule. So what you've seen historically is what you would expect to see if the parks are open, so that's the objective.
Michael Swartz: Okay, that's helpful. And maybe just related to that, talk about marketing spend, the cadence of marketing spend, and maybe how does your marketing strategy compare in 2021 relative to maybe when we had normal operations back in 2019?
Sandeep Reddy: Yes and I think one of the things that we talked about is, we're going to be very choice full about how we deploy our media and which is effectively marketing standard that we're incurring. And I think we're just taking a look at what is happening actually, with the pandemic and the pandemic trajectory. So depending on when things become much more clearer, in terms of pent up demand being leveraged in a much more significant way. We've historically done a lot of advertising and marketing around the time we actually sell our prices. And so that typically has been done spring and fall. But I think in this year, we could look at it as spring, summer and fall. And we will time our spend to make sure we are driving the demand, accelerated.
Michael Swartz: Okay, great. Thank you.
Sandeep Reddy: Okay.
Operator: Your Next question comes from the line of Brett Andress with KeyBanc.
Brett Andress: Hey, good morning. Just to be clear on the last point on the operating days, so assuming all of the parks open, how many operating days are you planning for right now, compared to 2019? I mean, is this simple as just, taking a normal calendar, backing out 1Q, and then maybe adding some of the extensions you talked about earlier. I'm just looking for kind of a ballpark as you said today?
Sandeep Reddy: Yes, Brett, I would say I'll go back to the last part of what I answered on the calendar. So once we get past spring 21 and we could reopen, go back to normal operating calendars starting Memorial Day, give or take, sometime in the second quarter. So that is what the expectation is. So if you go back and look at 2019, that should give you a pretty good indication of what the operating calendar would look like. The additional, the add-ons, I would say that are incremental to that, are the Safari that became a standalone experience some of the holiday events that we did, which were incremental. But I think that's the way you would think about the operating calendar.
Brett Andress: All right, thank you for the clarity.
Michael Spanos: Yes and Brett, just the last thing, the reason we've been clearing this, is just they're just not created equal as you know, that's why we're not drilling into that as much as just as focusing on the calendar of the parks.
Brett Andress: Yep, understood, okay. Thank you.
Operator: Your last question comes from the line of Ryan Sundby with William Blair.
Ryan Sundby: Yes, hi, thanks for taking my question. Mike or Sandeep, just I guess to follow up a little bit on the last question. When you look at adding something like West Coast customers car show at Magic Mountain or even just some the way you've modified operations to do more drive-through or walk-through at the parks, has there been any change in view, I guess, internally on the kind of programming or types of activities you're purchasing support? I guess what I'm asking here is just given some of the popularity, is there more demand for using the parks than you realized kind of pre-pandemic?
Michael Spanos: And Ryan it's a good question. I think what you're seeing is a testament to how we have and will continue to lead innovation. And that's a driver of being the regional entertainment choice. And it's going to be, we're going to always focus on our core assets and we're going to focus on our core offerings. And if our guests are looking for a product, we can bring it to them safely and its cash flow positive on a variable basis. We're going to do it because we got a great set of team members that can do it. So we will continue to be innovative and listen and learn from our guests and that's a big part of the guest centric culture.
Ryan Sundby: Perfect, thank you.
Operator: And there are no further questions at this time.
Michael Spanos: Thank you, Kathryn. For everyone again, I want to thank you for your continued support. Our guests are eagerly looking for a memorable experience that is fun, safe, convenient, affordable and close to home, something Six Flags is uniquely able to offer. Six Flags is truly the preferred regional destination for entertainment, creating fun and thrilling memories for all. Take care and please stay safe.
Operator: Ladies and gentlemen, this concludes today's conference call. We thank you for your participation. You may now disconnect.